Operator: Thank you for standing by. My name is Kath and I will be your conference operator today. At this time, I would like to welcome everyone to the Commvault Q1 FY 2025 Earnings Conference Call. [Operator Instructions]. I would now like to turn the call over to Mike Melnyk, Head of Investor Relations. Please go ahead.
Michael Melnyk: Good morning, and welcome to our earnings conference call. Before we begin, I'd like to remind you that statements made on today's call will include forward looking statements about Commvault’s future expectations, plans and prospects. All such forward looking statements are subject to risks, uncertainties and assumptions. Please refer to the cautionary language in today's earnings release and Commvault's most recent periodic reports filed with the SEC for a discussion of the risks and uncertainties that could cause the company's actual results to be materially different from those contemplated in these forward-looking statements. Commvault does not assume any obligation to update these statements. During this call Commvault's financial results are presented on a non-GAAP basis. A reconciliation between the non-GAAP and GAAP measures can be found on our website. Thank you again for joining us. Now I'll turn it over to our CEO Sanjay Mirchandani for his opening remarks. Sanjay?
Sanjay Mirchandani: Thanks Mike. Good morning and thank you for joining today's call. Q1 was an outstanding quarter and start to our fiscal year. We saw great momentum across all our primary KPIs this quarter. Total revenue increased 13% to $225 million. Total ARR rose 17% to $803 million. Subscription ARR accelerated 27% to $636 million. SaaS ARR jumped 66% to $188 million, and we did this profitably while investing in growth initiatives and hitting record Q1 free cash flow margins. Our Commvault Cloud platform continues to accelerate our growth as more companies turn to us for industry leading cyber resilience. We're rapidly becoming an integral part of the security conversation. In Q1, we had more conversations with CISOs and CIOs than ever before, which contributed to our rapid results and set the stage for continued momentum through the fiscal year. The need for resilience is paramount. Whether that's recovering from a cyberattack, a natural disaster, human error, or as we've recently seen, a massive global outage from a faulty patch. We help our customers navigate these challenges in three critical areas, risk, readiness and recovery. Let's discuss each one. First, we help businesses reduce their risk. According to our recent Cyber Resilience readiness report, 83% of organizations have experienced a material security breach, with over 50% occurring in the past year alone. Capabilities like Commvault ThreatWise reduce risk by providing advanced threat detection. In Q1, sales of our ThreatWise offerings doubled year-over-year. Additionally, while AI enhances cyber resilience, it can also create a bigger attack surface for organizations. Our AI enabled active insights technology is helping customers conduct real time threat analysis to assess their fiber resilience. Second, in addition to managing their risk, businesses need to be ready. That includes being ready for the type of global outage we saw a week ago, which includes having an immutable air gap copy of your data. We provide that to over 3000 of our customers every day with our Air Gap Protect offering. That said, research shows that bad actors are going to get in. So how do businesses know that they can be ready when that happens? It comes down to regularly testing cyber recovery plans. We revolutionize how that's done. Our Cleanroom Recovery offering enables businesses to easily, frequently, and affordably test their cyber recovery plans in advance, in good times, across workloads, at scale on demand. Nobody else does this. While this offering is new to the market, global pharmaceutical, healthcare and transportation organizations have already invested in our Cleanroom technology and are taking advantage of it. And at the RSA conference, Commvault was named the winner for Trailblazing Cyber Resilience by Cyber Defense Magazine. Third, when reached, businesses need to recover their data and rebuild their cloud applications fast. Traditionally, this has taken weeks or months. Not anymore. The Appranix technology required at the start of the quarter is allowing customers to reduce that time to days or hours. We'll have much more to say about this groundbreaking capability in the coming months as we integrate and enhance this offering within our Commvault Cloud Platform. Our ability to help customers reduce their risk, enhance their readiness, and quickly recover is critical to enabling their resilience. However, customers also turn to us to help securely accelerate the hybrid cloud modernization journeys. I'm proud that as of today, we've enabled customers to move approximately five exabytes of data in the public cloud. That's nearly a tenfold increase over the past five years, and we do this while enabling them to do it efficiently while minimizing the total cost of ownership. For example, we recently helped Lendlease, a global real estate lender, migrate its data center footprint onto the cloud while reducing complexity and gaining significant operational efficiencies. As a result, they achieved a 50% lower total cost of ownership for data management using Commvault cloud. Additionally, Enot Group, a leading global energy provider, harnessed Commvault cloud to modernize its on premise and cloud infrastructure to drive improved operational efficiencies, reduce overhead, and enhance business continuity across its network. It now takes them 67% less time to restore their data while achieving an 88% cost to system recovery and a 40% reduction in operating expenses. And being a trusted, proven partner doesn't stop there. During the quarter, we also extended our cyber resiliency leadership for government organizations. Among our top competitors, we are the only company to achieve FedRAMP High authorization, with this, Commvault Cloud for government can now securely handle controlled, unclassified information in cloud computing environments for government agencies and contractors. Additionally, Commvault Cloud is now on the AWS marketplace for the US FEDERAL Government. Finally, during the quarter, we continued to strengthen our executive bench to drive our next wave of growth and evolution. A few weeks ago, we announced that Gary Merrill will become the company's first Chief Commercial Officer, leading our sales and partner teams. Throughout his tenure at Commvault and as our CFO, Gary has worked closely with our sales and partner teams globally. In his new role, we believe he's ideally suited to lead the chart for Commvault. With this change, we're excited to announce that Jen DiRico will join us as CFO on August 12. Jen spent close to a decade at Toast, where she was instrumental in its successful IPO. As a member of the toll's senior leadership team, she contributed to the company's significant success and expansion, including growing its ARR to over $1 billion. We believe Jen's extensive financial and operational experience will enable us to accelerate growth here at Commvault as well.
Danielle Sheer: With that, I will now turn the call over to Danielle to discuss our results. Danielle?
Danielle Sheer: Thank you, Sanjay, and good morning everyone. As Sanjay mentioned, we had a record start to the fiscal year, delivering our third consecutive quarter of double digit total revenue growth with accelerating momentum across all our key metrics. I'll recap our Q1 results before providing our Q2 outlook and increased guidance for the full fiscal year '25. As a reminder, all growth rates are on a year-over-year basis unless otherwise noted. For fiscal Q1, total revenue growth accelerated 13% to $225 million, driven by a 28% increase in subscription revenue, which now exceeds 55% of total revenue. Subscription revenue growth was fueled by increased contributions from our SaaS portfolio and continued double digit growth in term software licenses, well ahead of the market growth rate. Our software revenue growth reflected a healthy balance between renewals and another strong quarter of land and expand business. Once again, we saw revenue from term software transactions over $100,000 increase by 13% as we close an accelerated volume of larger deals. From a product perspective, our Commvault Cloud platform is resonating in the market as we have started to monetize our cyber resilience offerings. From a geographic perspective, we were also pleased as both the Americas and International regions had impressive growth with each achieving double digit term software and total revenue growth. Q1 perpetual license revenue was $14 million. As perpetual licenses are sold in limited verticals and geographies, we believe we are approaching a steady state run rate of perpetual license sales; Q1 customer support revenue, which includes support for both our term based and perpetual software licenses, was $76 million, down 1% sequentially and year-over-year. In Q1, we reached the key inflection point where customer support revenue derived from term software and related arrangements crossed over 50% of total customer support revenue compared to 44% in Q1 of the prior year. Now I'll discuss ARR. Q1 total ARR growth accelerated 17% to $803 million. Subscription ARR, including term-based licenses and SaaS contracts, grew 27% year-over-year to $636 million, or 79% of total ARR. This includes $188 million of SaaS ARR, which jumped 66% from a year ago. SaaS continues to be the primary driver of our new ARR growth, contributing over 60% of our total ARR growth in the quarter. SaaS now represents 23% of total ARR compared to just 17% a year ago. From a customer perspective, we added approximately 600 subscription customers during the quarter and ended the quarter with 9900 subscription customers, representing over 65% of our installed base. Existing customer expansion was strong with Q1 SaaS net dollar retention of 127% being benefited by both upsell and cross sell activities. We saw accelerated growth in SaaS ARR from hybrid cloud workloads and our newer workloads such as Active Directory and Cleanroom. Now I'll discuss expenses and profitability fiscal Q1 gross margins was 83%, roughly flat year-over-year, benefiting from continued SaaS gross margin improvement and the growth in term software licenses. Fiscal Q1 operating expenses increased 15% to $137 million, including costs associated with our appearance at the RSA conference, a live in person sales kickoff event, and higher commissions and bonuses on record revenue. We ended the quarter with approximately 3000 employees, an increase of 4% sequentially, including strategic resource investments and on-boarding the employees brought over through the Appranix acquisition. Non-GAAP EBIT for Q1 was $48 million and non-GAAP EBIT margins were 21.5%, demonstrating our commitment to a responsible growth philosophy. Moving to some key balance sheet and cash flow metrics, we ended the quarter with no debt and $288 million in cash. Our Q1 free cash flow grew 16% year-over-year to $44 million, reflecting continued growth in SaaS deferred revenue and the strength of our software subscription business, which typically includes upfront payment on multi-year contracts. In Q1, we repurchased $51 million of stock, representing 117% of free cash flow. We now have $205 million remaining on our existing share repurchase authorization. Now I'll discuss our outlook for fiscal Q2 and our improved guidance for fiscal year '25. For fiscal Q2, we expect subscription revenue, which includes both the software portion of term based licenses and SaaS, to be $120 to $124 million. This represents 25% year-over-year growth at the midpoint. As a result, we expect total revenue to be $218 to $222 million, with a growth of 9% at the midpoint. At these revenue levels, we expect Q2 consolidated gross margin to be in the range of 81% to 82%. We expect Q2 non-GAAP EBIT margin to be in the range of 19% to 20%. Our projected diluted share count for fiscal Q2 is approximately 45 million shares. As you saw in this morning's press release, we have raised our outlook for the full fiscal year '25. We now expect fiscal year '25 total ARR growth of 15% year-over-year. We expect subscription ARR to increase in the range of 23% to 25% year-over-year. From a full year fiscal '25 revenue perspective, we now expect subscription revenue to be in the range of $522 million to $527 million, growing 22% year-over-year at the midpoint, with strong contribution from both term software licenses and SaaS. We now expect total revenue growth to accelerate and be in the range of $915 million to $925 million, an increase of approximately 9.5% at the midpoint. Moving to our updated full year fiscal '25 margin, EBIT and cash flow outlook, we continue to expect gross margins to be in the range of 81.5% to 82.5%, inclusive of the accelerating contribution of our SaaS business. We also continue to expect non-GAAP EBIT margins to be in the range of 20% to 21%, inclusive of certain focused investments to continue our revenue momentum. From a free cash flow perspective, we continue to expect full year free cash flow of at least $200 million. And lastly, we expect to continue with our existing practice of repurchasing at least 75% of our annual free cash flow. As a reminder, for fiscal year '25, we lowered our non-GAAP tax rate from 27% down to 24%. We believe that a 24% rate more closely aligns with our effective tax rate expectations over the next few years. Given our initial momentum to start fiscal year '25, our updated fiscal year '25 outlook, the current cyber market tailwinds, and our execution momentum in the field, we remain confident that we can deliver on our fiscal '26 ARR aspirations of total ARR of $1 billion, with subscription ARR representing 90% of total ARR, including an accelerating SaaS contribution ranging from $310 million to $330 million. For additional details and trends on all of our key metrics, please take time to review our earnings presentation contained in the investor relations section of our website. Operator, you can now open the line for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Aaron Rakers from Wells Fargo. Your line is open.
Aaron Rakers: Yes, thanks for taking the question. Congrats on the solid results here in the quarter. Maybe I'll just start by asking the current macro environment, maybe the deal activity flow pipeline discussion and then kind of tied to that, Sanjay, I'd be interested in what you're hearing from customers following the CrowdStrike downage. Obviously the cyber resiliency strategy for Commvault is resonating, curious of what your customer engagements have been like? I know be it early, but since that outage a week or so ago.
Sanjay Mirchandani: Good. Aaron, thanks for the question. Good morning. It's been a good quarter because fundamentally, we're solving a hard problem for our customers with resilience in general, but cyber resilience in particular. And what we're seeing is, macroeconomic situation is we're kind of drawing a straight line, as it was. And from the previous quarters, our pipeline looks good. We're having a lot of conversations with CISOs and CIOs at the same time around resilience. And what the CrowdStrike incident really brought to the fore wasn't so much of a direct line to us and what we do outside of our secure cloud capabilities, Air Gap Protect, which had just been a malicious thing, customers would have had an offsite secure copy. It's bringing up the conversation repeatedly around resilience. And this was not a malicious situation. It was a trusted environment that went wrong. And you need to be resilient to recover from that, just as you would with cyber. Had it been a cyber situation, we'd still be sort of scrambling, trying to figure out what happened, what our environment looks like, what do we need to do to fix it? So, the conversation around resilience is categorically resonating and making a difference.
Aaron Rakers: Yeah, very good. And then just as a quick follow up, you mentioned the 127% net dollar retention number and you mentioned good upsell cross sell opportunities. I'm curious with metallic of, is there any kind of added commentary or quantification that you could give us in terms of what you're seeing from across sell opportunity perspective as that business continues to grow rapidly?
Sanjay Mirchandani: Let me give you a little bit of color and then Danielle will fill in some numbers for you. What we're seeing is our new workloads, our hybrid workloads growing quite substantially. So outside of the office 365 type workloads, we're seeing our secure storage Air Gap Protect, Active Directory and our Kubernetes container cloud-based workloads growing handsomely. That bodes well for us because that shows mission critical cloud native applications being backed up and secured in the cloud. We've got over 3000 customers using Air Gap Protect, which is substantial. And we talked about threat wise, our threat deception capability doubling year-on-year. We've seen Active Directory get off a great start. So we're seeing that there's a lot of, a third of our customers tend to have more than one product out of the door. Okay. So there's good traction. I'll let Danielle add some more color there if you want.
Danielle Sheer: Yeah. Thanks, Aaron. Thanks for the question. Good morning. So when we launched our Commvault cloud platform. Our objective was really to create one unified platform that allowed our customers to easily navigate between their software and their SaaS offerings. And so what that did is it allowed us a natural opportunity to monetize on that navigation. And we really saw, we've really seen the traction in that. In particular, about a year ago, right, we saw about, call it a quarter of our cross sell opportunities coming from out of our expand revenue. That number is closer to a third today. So we are really seeing the way that customers are buying, changing the way that Sanjay spoke about in his opening remarks.
Aaron Rakers: Yep. Very good. Thank you, guys.
Sanjay Mirchandani: Thank you.
Operator: Your next question comes from the line of Howard Ma from Guggenheim Securities. Your line is open.
Howard Ma: Great. Thank you. Sanjay hats off to you and the team for the strong performance. It looks like a clean print all around. I want to ask you about investments in two areas that may be underpenetrated for Commvault, and those are the government vertical and the Asia Pacific region. So Commvault cloud recently achieved a FedRAMP High authorization, as you just mentioned in your prepared remarks. You also expanded your partnership with Carahsoft, targeting the US intelligence community. And then in Asia Pac, you recently hired a field CTO focus on security in that region. My question to you is, how impactful are those investments, and should we expect them to bear fruit this year?
Sanjay Mirchandani: Hey, Howard, good to hear from you and thank you for your support. So, government, federal government, governments around the world are a definite area of focus. We went through the long journey of getting our technology FedRAMP High certified, and we're in a very rarefied space with that certification. Most of our competitors don't even come close on the level of certification that we have. In addition, we're making our technology far easier to obtain and access by being on marketplaces like the AWS, Federal marketplace, Government marketplace that we just announced. So, you know, from a safety level and you know that federal government agencies are looking for. We have it access. We're getting there. And we're also investing in specialized field resources, as you've observed with our field CTO community, that are deep, deep, deep, deeply rooted in security issues, cyber issues, and can take some of our capabilities from a compliance point of view and standards point of view to governments around the world. So it's an active area of investment for us, mostly on the product side now, a little bit on the go to market side. Okay. So that's kind of how we're thinking about it. If you look also on the channel so Carahsoft etc, that's the go to market side that we're enabling and making sure we're close with. On APAC. We are doing some modest growth there. Our focus has historically been Asia Pacific as it is ANZ and Australia, New Zealand, Singapore, Southeast Asia and a little bit in mainland China. That's been our focus area. We're continuing to go deeper. There's a lot of opportunity there coming up and we're investing there. So, but it's, again, it's part of our plan and it's part of everything we've shared as part of fiscal year '25.
Howard Ma: Got it. Well, thank you for that added color. And I want to ask Danielle as well. I was trying to figure out the strength in the subscription and SaaS and specifically new term license, at least the way that we try to back into it. The question for you is that it makes me wonder, has your gross renewal rate, has that been ticking up and also are you benefiting more from one year subscription renewals this year? Thanks.
Danielle Sheer: Yeah thanks, Howard. Thanks for the question. Good morning. So the first thing I want to say this quarter, Q1, we saw very balanced contribution from all the items on our subscription line. Right. That's our software renewals, our software land expand opportunities, and our staff. When I think about term in particular, and I think I mentioned this in my prepared remarks, right. We actually saw 13% growth rate on our large deals, on our over $100,000 deals. And much of that was actually driven by volume. So you mentioned our GRR rate. We are seeing our GRR rate strengthen. So we are seeing good signs. But I really want to highlight the fact that the success of the quarter really came from that balanced contribution of all those pieces in the subscription line.
Howard Ma: Great. Thanks so much, Danielle.
Operator: Your next question comes from the line of James Fish with Piper Sandler. Your line is open.
James Fish: Hey, guys. Nice quarter there. Actually, wanting to go back to last quarter a little bit where you guys had another good quarter. And actually, that Dell announcement kind of went fairly unnoticed. Just any update on how that relationship has kind of gone out of the gate and sort of the ability to hit milestones from here?
Sanjay Mirchandani: Hey, Jim, it's Sanjay. How are you? So, you know, as we said when we announced it sort of right around this time last quarter, it was, we said it was a long-term sort of initiative for us to go after the installed base, the Veritas Install Base, and partnering with Dell on their data domain install base. This is a, we're going to, you know, we're going to compete till we decide, until the customer decides they want both of us. So that's how, you know, that's how it's working. We're in situations where customers want us to come in, want us to do a proof of concept, want us to help them move. We're in the throes of it. And I never expected to be a 60-90 day big hit. This is a ramp that is taking out an entrenched install base that will take a little bit of time and it's moving exactly the way we'd expect and want. So nothing yet, but more down the road. We will share more data down the road.
James Fish: Yeah, makes sense. And Danielle, thanks for all the color and for jumping on the call here with us as we think about this fiscal Q2 guide, why the sequential drop on subscription? Understanding the duration on term deals is getting closer and closer to two years. But if we look back three years ago when deals were kind of being signed at three-year durations more, so it was better than down sequentially and metallic spend actually accelerating. So I guess is this just being prudently conservative or is there something on the macro side that you guys are a little bit more cautious on?
Danielle Sheer: Hi, Jim. Yeah, no, thanks for the question. So I wouldn't say we're being prudently conservative. I mean, we raised our guidance going into Q2, and a lot of what you see is actually the momentum that we're seeing in SaaS. So there's a couple pieces that go into that subscription line I mentioned. Right. The subscription renewals, which we're going into a slightly, we have a slightly smaller renewal pool in Q2. So we're factoring into that. But really it goes back into the momentum and the capitalization of our staff in that line. Right. And obviously, SaaS is recognized ratably, so we don't see the benefit of that, you know, in the following quarter. But instead, over time. And I think you can really see that in the growth rate we're seeing in our SaaS ARR.
James Fish: Makes sense. Thanks again.
Operator: [Operator Instructions] Your next question comes from the line of Rudy Kessinger with D.A. Davidson. Your line is open.
Rudy Kessinger: Hey, guys, thanks for taking my questions. And I'd like to congratulate these. The net new ARR figures especially look very, very impressive. I know it sounds like you're saying strengthening the quarter was kind of broad based. I want to maybe narrow in on two issues. Firstly, cyber resilience. I believe I heard you say you're starting to monetize that. Could you just expand on that? How materially did that contribute in the quarter? And is there any color you can share just on the type of ASD uplift you're seeing in deals that include some of your cyber resilience products?
Danielle Sheer: Yeah. Thanks, Rudy, for the question. Good morning. Maybe I'll start and talk about the quarter, and then I'll hand it over to Sanjay to talk about what we're seeing in the broader market. Right. So, we had a material contribution from our cyber resiliency offerings this quarter, in particular, our cyber recovery and our autonomous recovery bundle. And actually, that traction that we saw this quarter is part of what gave us the confidence to raise the guidance for the rest of the year. Sanjay, you want to talk through?
Sanjay Mirchandani: Yeah. So really, the way to think about our cyber resilience, it isn't one skew. It's an overall platform with Commvault Cloud that delivers services that are integrated. So in other words, a customer using our software, let's say our cyber resilience Skew, can avail of services that are delivered through the cloud, through our SaaS based capabilities like Air Gap Protect or ThreatWise. Okay. So it's an integrated play. And what we're seeing is. What we're seeing is that the uplift we're getting is the customer's actually looking at the platform in its entirety for that solution. And since we've released the autonomous and cyber resilience Skews, which integrate these services, we've seen a marked uplift in the pipeline and to some level, even in Q1 on the contribution. So it's. That's the way to think about it.
Rudy Kessinger: Okay. Got it. And I know James just asked about Dell, and it sounds like you sound confident on it.
Sanjay Mirchandani: Work in progress. It's work in progress. We are competitors. We are also collaborators. So it's a relationship that we're building out and we're excited about it. I think the potential is massive and the work is going on.
Rudy Kessinger: The teams are working well. I guess the broader question, I guess, is going to be just the pace of legacy displacement between no, Dell and obviously a couple others. Have you seen any increase in the pace of legacy displacements over the last couple of quarters, or is it been kind of steady state?
Sanjay Mirchandani: No, no. We have. We have, you know, whether it's ransomware or resilience, you know, there is a, there is a marked focus by boards, by audit committees, leadership teams, inside companies to say, are we resilient? Do we have the best technology and the best capabilities to protect ourselves? And some of the legacy stuff is incomplete. And so there is a big part of our pipeline is refresh of some of the install, of the installed base.
Rudy Kessinger: That's helpful. Great. Thanks. Yeah.
Operator: That concludes our Q&A session. I will now turn the conference back over to Mike Melnyk for closing remarks.
Michael Melnyk: Thanks for everyone for joining us today. As a reminder, we have a presentation on the investor relations website. If you have any questions, feel free to reach out to me and we will look forward to seeing you at some upcoming conferences. Thanks very much.
Operator: Ladies and gentlemen, that concludes today’s call. Thank you all for joining, you may now disconnect.